Christina Glenn: Good morning, and welcome to the presentation of Aker's fourth quarter results for 2025. My name is Christina Schartum, and I am the Head of Communications at Aker. I am joined in the studio today by our President and CEO, Oyvind Eriksen, who will walk you through the key highlights and recent developments across the portfolio. We are also fortunate to have Josh Payne, Founder and CEO of Nscale, with us, to give an update on this exciting company. Our Chief Financial Officer, Svein Oskar Stoknes, will then take you through the financial results in more detail. After the presentation, we'll host a Q&A. And with that, I'll hand it over to Oyvind.
Øyvind Eriksen: Thank you, Christina, and good morning, everyone. 2025 was a pivotal year. Aker became a more focused industrial owner with greater scale in fewer platforms and a portfolio positioned to deliver through cycles. That comes through clearly in our full year results. Net asset value closed at NOK 67.3 billion, up 22.4% for the year, if you add the NOK 3.9 billion Aker paid in dividends. Total shareholder return was nearly 50%, a strong reflection of both underlying delivery and the choices we made during the year. Dividend income of NOK 6 billion continue to form the financial backbone of Aker, supporting predictable returns while giving us the freedom to invest where long-term ownership makes a difference. We also saw clear progress across the portfolio. Our listed holdings grew 28%, reflecting strong delivery from companies that remain central to Aker's long-term industrial foundation. And our unlisted holdings, including technology platforms like Cognite and Nscale, grew 33% and is moving forward in ways that increase scale and strategic relevance. Taken together, 2025 strengthened Aker both financially and operationally, while also making it more clear how the mix of our companies positions Aker to navigate a more competitive and capacity-constrained decade. The fourth quarter closed broadly unchanged from the net asset value of the third quarter despite a substantial dividend distribution of NOK 2 billion or NOK 26.5 per share. For 2026, the Board proposes a dividend of NOK 29 per share in the second quarter, with authorization for an additional dividend later in the year. The intention remains the same, a competitive, reliable payout supported by a portfolio that has become structurally stronger. Aker BP and Aker Solutions have remained the core of Aker's Industrial Foundation, and 2025 reinforced why they sit at the center of the portfolio. Aker BP delivered another year of strong performance. Projects stayed on track, production remained high, and the company continued to operate as a low-cost, low-emission producer on the Norwegian continental shelf, a competitive position it has built systematically over time. The year also strengthened its long-term resource base through exploration successes, while maintaining the reliability and efficiency that underpin its cash generation. Johan Sverdrup is the jewel in the Aker BP crown, accounting for more than half of the company's production at record low production cost and CO2 emissions per barrel. The laws of nature will trigger decline in production for any oil and gas field over time, including Johan Sverdrup, which is why that is embedded in Aker BP's plans and guidance. What's not included is the potential of enhanced oil recovery due to technology and drilling. History shows how big oil fields have outperformed forecasts repeatedly. For Aker, Aker BP continues to generate solid value creation, attractive dividends and continued confidence in a business that performs through cycles. Aker Solutions also had a solid year with high activity levels and good progress across major projects, particularly those tied to Aker BP. Its strength lies in deep engineering competence, long-term customer relationships and asset-light model that continues to generate cash while expanding into new verticals. It also benefits from the scale and positions built through OneSubsea, which is increasingly well placed in a growing subsea market. Together, Aker BP and Aker Solutions anchor the kind of stability that lets us take a long-term view across the rest of the portfolio. Real estate has become a significant and growing part of Aker's portfolio, now representing a gross NOK 145 billion platform. Beyond structure, the returns delivered over the past year deserve attention. Since the transaction announced in May 2025, all of Aker's real estate investments have significantly outperformed the broader market. Over this period, PPI delivered a 23% return; Sveafastigheter, 20%; and SBB, 16%; while the OMX Stockholm Real Estate Index declined by 4%. This reinforces our view of real estate as a disciplined, return-driven allocation, one that strengthens cash flow, reduces volatility and improves the portfolio resilience over time. A key driver of this progress was the transaction between Public Property Invest, PPI, and SBB. It tripled PPI's portfolio and established a leading listed platform in the European social infrastructure, characterized by long duration leases, high occupancy and dependable public sector tenants. For Aker, the transaction increased our economic ownership in PPI to 34% and expanded our exposure to a platform with stable, predictable cash flows and countercyclical characteristics. The structure of the transaction was equally important. It reduced risk, strengthened balance sheets and simplified ownership, while allowing SBB to remain the majority owner in a higher-quality platform. The result was a material improvement in the quality and robustness of the ownership structure. Moving on to Cognite, our exposure to industrial software and industrial AI. 2025 marked a clear shift. Focus is now on how AI will move from excitement to enabler of improvement and change and how these technologies are being used in day-to-day operations. Cognite sits at the core of this work, in environments where complexity is high, uptime matters, and the tolerance for error is near 0. Cognite provides the foundation that makes AI useful in production. Cognite Data Fusion delivers the contextualized data layer, while Atlas AI and [ June ] drive how AI is actually deployed in practice. Atlas AI is Cognite's industrial agent platform built on contextualized operational data, enabling AI agents to act on real operating conditions. [ June ] is Cognite's low-code environment for building and adapting industrial applications, reducing the time from ID to deployment significantly. Together, they shorten the distance between data, domain expertise and action, which is what industrial operators need for AI at scale. The shift in adoption this year has been unmistakable. Cognite delivered USD 164 million in annual revenue, with ARR up 32% to USD 124 million. The number of Atlas AI customers grew nearly eightfold, firmly moving the product into mainstream use. And in 2025, more than 70% of new bookings included Atlas AI, showing how central it has become in new customer engagements. The fourth quarter reinforced this. Cognite signed 13 new customer contracts, underlining its ability to scale across asset-heavy industries globally. At the same time, the quality of the business strengthened, gross margin increased and reached 68%. And the software part of that gross margin exceeded 80%, reflecting a high-value Software-as-a-Service mix and operational leverage. And importantly, these are not generic AI pilots. Customers are deploying product-grade AI agents and workflows for our maintenance planning, root cause analysis, energy optimization and decision support, use cases tied directly to uptime, efficiency, safety and profitability where AI has real economic impact. Commercially, Cognite continues to broaden. Around 80% of revenue now comes from customers outside the Aker Group and roughly 40% from outside oil and gas, reflecting significant sector and customer diversification. A new vertical, pharma and life science is showing especially strong traction with 4 of the top 10 global companies now Cognite customers. Cognite is also investing for growth. The company is expanding its sales force, deepening its market coverage and continuing to invest heavily in product development to maintain its pole position in industrial AI. A key differentiator remains the company's industrial proximity. Early deployments inside demanding operating environments, including Aker BP's Yggdrasil development, provide a feedback loop few software companies can match. There, Cognite's technology enables automated operations, remote control rooms and digitally-enabled work processes such as robotic inspection. Taken together, Cognite is moving from early adoption to embedded use. AI is becoming part of day-to-day industrial operations. That is what supports continued growth and why Cognite plays a critical role in Aker's long-term value creation. Aize is providing advanced visualization and collaboration tools that help asset-heavy industries plan, operate and maintain large facilities more efficiently. The company continues to strengthen its position, delivering advanced visualization and collaboration tools for heavy asset industries. Its technology is now deployed across 66 facilities worldwide, supporting customers like BP, Exxon and SBM Offshore. While Aize is well established in EPC and offshore operations, its addressable market is broader. The next area of expansion is onshore processing, and in the fourth quarter, Aize secured a first major contract for a large onshore LNG facility in the U.S., an important step in that direction. 2025 marked a shift in the company's revenue profile. Aize generated more than USD 14 million in recurring revenue, with subscription revenues increasing as the product matures. Revenue from customers outside [indiscernible] Aker Group also made a meaningful step forward, reflecting broader international traction. Looking ahead, the company is targeting a USD 50 million in the recurring revenue by 2029, with around 90% of the business on a recurring basis, reflecting a more scalable and predictable model as adoption grows. We are very pleased to have Josh Payne, Founder and CEO of Nscale,, with us today. Josh has built one of the fast-scaling AI infrastructure platforms globally, and he'll take you through the company's trajectory and plans in more detail shortly. Aker's shareholding in Nscale is our exposure to AI infrastructure at true international scale, where access to compute, power and grid capacity has become the defining constraint. The company combines data center capacity, GPU clusters and orchestrations in one integrated model built around long-duration customer commitments. We're also executing locally through the 50-50 Aker Nscale joint venture in Northern Norway, where Aker's industrial capabilities and Norway's strength in renewable power and grid access come together. Construction is underway in Narvik with 230 megawatts of secured grid capacity and around 1.5 gigawatts in the official queue across multiple sites, locations suited for large-scale energy-efficient AI infrastructure workloads. Over time, our joint venture stake can be rolled into Nscale parent company, ensuring that what we build locally connects directly with a larger long-term ownership in the broader global platform. And with that, I'll hand it over to you, Josh, for a deeper introduction and presentation of your great company, Nscale.
Joshua Payne: Good morning, and thank you to Oyvind and the team for your leadership, and to the Aker shareholders for your continued support. Nscale is a European-headquartered, vertically-integrated AI infrastructure company. The true challenge in the market is the enormous demand for AI infrastructure and the lack of supply, driven by the complexities of deploying large-scale infrastructure at speed and the disconnection between each segment of the value chain. Nscale solves this by both building and operating the data centers, building and operating the compute clusters and also the software, delivering large-scale training and inference as an end-to-end service for customers worldwide. Today, we have deployments across 5 countries, and we're working together with Aker as part of the Aker Nscale joint venture to deliver large-scale AI infrastructure in Norway by utilizing the surplus renewable energy that exists in NO4. Norway, I believe, is one of the most compelling places in Europe to deliver on the global demand for AI compute capacity. Here in Norway, there are abundant renewable power resources, a mature industrial base, optimal climate and a high density of human capital. Norway has a long history of turning low-cost renewable energy into economic value. And for this reason, we firmly believe that Norway can leverage its energy resources to emerge as a global leader in artificial intelligence. That's why the partnership between Aker and Nscale matters. Aker is a Norwegian national champion with world-class industrial project delivery. Nscale brings the full AI infrastructure to stack, which involves the data center design and operations, the clusters, the platform software that makes the compute valuable for customers. Together, we are building a new market for the country, turning Norway's economic and industrial strengths into high-performance AI capacity that is both sovereign, sustainable and built to the highest standards. Under the Aker Nscale joint venture, we are progressing a portfolio of AI infrastructure projects in Norway, anchored first by our flagship site in Kvandal near Narvik. In Narvik, we have 230 megawatts of secured grid capacity with a further 290 megawatts in capacity queue, and customer negotiations are ongoing for adjacent plots at Narvik to support continued expansion. Overall, at Nscale, our future expansion is in line with the incredible demand we're seeing today, and we expect this will continue to grow in the future. The market is moving into a phase where the overall limiting factors are power, speed and efficiency of operations. In other words, this is becoming an execution story, and that is where our focus is in 2026 and beyond. In Q4, Nscale also strengthened the foundation for that execution. We successfully completed a Series B funding round, which was the largest Series B in European history at USD 1.1 billion, attracting both strategic investors and also global institutional top-tier investors. In parallel with this round, we also closed a $433 million Series C safe, driven by investor demand and the oversubscribed nature of that Series B round. This capital both underscores the demand for the product that we have and also supports what matters most now, which is delivery. We have a large global power pipeline, multibillion dollar contracts signed, Tier 1 strategic partnerships in place, including NVIDIA, Dell and Nokia, and hundreds of thousands of GPUs awarded to win scale to date. We're also expanding our leadership team, bringing in deep industrial experience and recently acquired global DC engineering firm, Future-tech, bringing in a team of designers, engineers, consultants, project managers and more, which empowers us to accelerate our delivery and execution. What we're building in Norway and beyond is differentiated and durable. It's both engineered for scale, for performance, built to serve demanding training and inferencing workloads reliably and to expand in phases in line with the breakneck speed of the market. And lastly, it's sovereign, both by design, giving customers clarity and control of where their data and workloads run and most importantly, aligned to European standards. We're proud to be building this with Aker. So thank you to Oyvind for your partnership, and thank you to the Aker shareholders for your continued support as we work together to build a long-term European AI infrastructure asset here in Norway and globally. Thank you.
Øyvind Eriksen: Thank you, Josh. It's so exciting to see what we have achieved in 21 months only and how Aker and Nscale are working together, a great partnership. And even better, we are just getting started. Now to sum up Aker's fourth quarter and the year, our portfolio today reflects a deliberate shift toward a more balanced and more resilient Aker. We have strengthened the mix between our long-standing industrial businesses and the growth platforms we are building in compute, software and real assets. This was a year where macro conditions mattered, tighter energy systems, heightened security concerns and a more complex backdrop for long-term industrial investments and developments. These dynamics influence how our companies operated, from financing and infrastructure access to customer decision making, and they reinforce the value of diversification across sectors and geographies. A clear theme throughout the year has been collaboration. Across industries and borders, partnerships have accelerated adoption, reduced risk and created scale that individual companies cannot achieve alone. Several of the steps we took in the compute, software and industrial operations were made possible by strong partners, and this will remain a competitive advantage for the different Aker companies. Looking ahead, the portfolio we are building [indiscernible] in areas with long-term structural demand, while maintaining the industrial backbone that supports predictable cash flows. As we look ahead, our focus remains the same: disciplined ownership, operational delivery and building companies that can compete and cooperate in a more complex operating environment. That concludes my part of the presentation this morning. I'll now hand it over to our CFO, Svein Oskar.
Svein Stoknes: Thank you, Oyvind, and good morning. To begin, I will provide a brief overview of the key numbers for our listed and unlisted equity investments along with cash and other assets, followed by a more detailed discussion of our financial results. As of the end of the fourth quarter, Aker's listed equity investments were valued at NOK 57 billion, accounting for 72% of the company's total assets and corresponding to NOK 768 per share. This represented an increase from the previous quarter, primarily due to a net asset value increase of NOK 2.7 billion in Aker Property Group's listed real estate holdings, following the investments in PPI and Sveafastigheter. Additionally, the combined market value of Aker BP, Aker BioMarine and Aker Solutions increased by NOK 1.1 billion during the quarter. And these positive developments were partially offset by reductions of NOK 1.1 billion in Solstad Maritime and NOK 0.3 billion in Solstad Offshore. In the fourth quarter, total dividends from listed investments reached NOK 1 billion. Of this amount, Aker BP contributed NOK 842 million; Solstad Maritime provided NOK 78 million; Akastor accounted for NOK 40 million; AMSC delivered NOK 33 million; and Solstad Offshore contributed NOK 14 million. Then over to Aker's unlisted equity investments, which represented 25% of Aker's total assets at the end of the quarter. These assets were valued at NOK 20 billion or NOK 263 per share. This represents an increase of NOK 6.2 billion compared to the previous quarter, driven primarily by Aker's investments in AI infrastructure. Aker acquired a 9.3% ownership stake in Nscale by contributing 50% of the Aker Nscale JV in kind, plus USD 100 million in cash. This stake is valued at NOK 3.8 billion, including an earn-out provision that will take the ownership to 12.2%. Additionally, Aker holds the remaining 50% stake in Aker Nscale valued at NOK 2.9 billion, also based on the Nscale Series B valuation. The reduced value of Aker Holdco and the conversion of interest-bearing receivables and associated accumulated interest, which I will come back to on the next slide, offset most of the Nscale and Aker Nscale value uplifts, giving a total net uplift to our reported NAV of NOK 1.6 billion from these transactions. In addition, the net asset value of Aker Property Group's unlisted real estate increased by NOK 0.6 billion in the quarter as debt and accumulated interest to Aker were converted to equity. At the end of the quarter, cash and other assets represented 4% of Aker's total assets equivalent to NOK 38 per share. Cash inflows reached NOK 5.3 billion, consisting primarily of NOK 3.5 billion from drawdowns on revolving credit facilities and NOK 1 billion in dividends received from Aker BP, Solstad Maritime, Akastor and Solstad Offshore. Additionally, proceeds of NOK 600 million were realized from the sale of shares in SalMar during the period. Cash outflows totaled NOK 5.6 billion, including a dividend payment of NOK 2 billion; investments in Aker Property Group and Nscale of NOK 1.3 billion and NOK 1 billion, respectively; settlement of the AMSC TRS agreements amounting to NOK 565 million; as well as share buybacks totaling NOK 317 million, and these shares were used to settle a share loan from TRG. Meanwhile, cash outlays related to operating expenses and net interest for the quarter amounted to NOK 287 million. As a result, the cash balance at quarter end stood at NOK 0.8 billion. The decrease of NOK 4.4 billion in interest-bearing receivables and NOK 0.7 billion in interest-free assets were primarily due to the conversion to equity of outstanding receivables and accumulated interest from Aker Holdco, Aker Horizons and Aker Property Group. Then let's move to the fourth quarter financials for Aker ASA and holding companies, starting with the balance sheet. In accordance with our accounting principles, investments are recognized at the lower of historical cost and market value. At the end of the quarter, the book value of Aker's investments was NOK 35.5 billion, which represents an increase of NOK 6.9 billion compared to the previous quarter. This change primarily reflects Aker's cash and in-kind investments in Nscale of NOK 3.8 billion, including the estimated value of an earn-out. In addition, investments in real estate of NOK 3.3 billion consisted of a cash investment of NOK 1.3 billion and conversion of receivables and accrued interest of NOK 2 billion. The book value of equity at quarter end was NOK 24 billion, down NOK 3.6 billion from the previous quarter, mainly due to the ordinary dividend allocation for 2025 of NOK 2.2 billion and dividends paid in the quarter of NOK 2 billion, partly offset by a profit before tax for the quarter of NOK 0.7 billion. On a fair value adjusted basis, Aker's gross asset value was NOK 79.4 billion. After subtracting for liabilities, the net asset value amounted to NOK 65.1 billion or NOK 876 per share after allocation for dividend. And the value-adjusted equity ratio was 82%. Of the total liabilities, NOK 11.7 billion is related to bond debt and bank loans and NOK 2.2 billion is related to the dividend allocation for 2025, representing NOK 29 per share. And as Oyvind mentioned, the Board of Directors is proposing that the Annual General Meeting authorizes the Board to pay a potential additional cash dividend during 2026 based on the 2025 annual accounts, in line with the practice from last year. Aker maintains a strong financial position, holding a total liquidity buffer of NOK 5.9 billion, that includes both undrawn credit facilities and liquid funds. Following the end of the quarter, the size of the company's revolving credit facilities increased by NOK 3 billion, resulting in a total RCF capacity of NOK 15 billion. At the close of the quarter, net interest-bearing debt rose to NOK 9.7 billion, up from NOK 1.7 billion in the previous quarter. This increase is primarily due to the conversion of interest-bearing receivables from Aker Holdco, Aker Horizons and Aker Property Group during the period, alongside the capital allocations that were made. The loan-to-value ratio was 14%, with Aker's weighted average debt maturity at 2.9 years. Factoring in available options for credit and loan extensions, the total effective loan maturity extends to more than 5 years. Then finally, moving to the income statement. Operating expenses in the fourth quarter were NOK 170 million, reflecting a high activity level. Dividend income was NOK 1 billion, mainly from Aker BP as well as Solstad Maritime and Akastor. The net value change was negative NOK 46 million. Net other financial items totaled negative NOK 125 million. And finally, our profit before tax was NOK 659 million for the quarter. Thank you. That concludes today's presentation, and we will now proceed to Q&A.
Christina Glenn: Thank you, Svein Oskar. We'll now continue with the Q&A. The first question to Oyvind is, what is the long-term industrial logic behind your real estate platform? And how might it evolve?
Øyvind Eriksen: Well, the answer to that question is twofold. The real estate investments as stand-alone and real estate as a part of the broader Aker portfolio. So we believe that the investments we made last year in SBB, PPI and Svea, in particular, were attractive due to the quality of the assets and due to timing, and the shareholder returns we reported today are speaking for themselves. So value drivers are stand-alone investments. But equally important is the diversification of the Aker portfolio. We have great assets in volatile industries, oil and gas, in particular. And with real estate, we are establishing a different asset class which has not the same volatility and cyclicality as the oil and gas and energy part of the Aker portfolio. So attractive investment stand-alone and diversification of the Aker portfolio.
Christina Glenn: Great. Thank you. The next question is on Nscale. What is the next step for Nscale in its development? And how should we think about the long-term road map for the platform? Josh touched on it. Do you want to?
Øyvind Eriksen: Yes. Josh mentioned, by far the most important priority for the time being, it's execution. It's just amazing to see how swiftly Nscale and Aker Nscale help grow the last 21 months and even the last 6 or 7 months since we announced the transaction. And the amount of contracts signed with great customers like OpenAI and Microsoft are nothing more, nothing less than point of departure for execution. First, project execution and so far, so good. And thereafter, a high-quality operation. And that, in parallel, I take for granted that Josh will continue to grow the company. But high-quality execution is a prerequisite for long-term success.
Christina Glenn: Great. The next question is, how do you balance investments in high-growth areas like AI infrastructure and real assets with your dividend framework, the 4% to 6% of our net asset value?
Øyvind Eriksen: So that's exactly the point, that we would like to diversify Aker portfolio investments and more in order to also establish and obtain cash flow from different sources, different companies. So real estate is once again an example. Over time, we expect a more predictable and attractive dividend also from that part of the portfolio, which will come in addition to the dividends paid by companies like Aker BP and Aker Solutions. So increased nominal dividend year-on-year has been a strategy for a while and continue to be core to our strategy and financial plan.
Christina Glenn: Great. You touched on being less tied to commodity cycles with these new investments. Can investors consider this shift largely complete? Or should we expect additional rebalancing of the portfolio?
Øyvind Eriksen: Well, Aker has been around for 185 years. And the company has never completed its growth and development. So you can take for granted that we will continue to work 24/7 to create shareholder value through a combination of development of existing portfolio companies and new transactions.
Christina Glenn: Great. Last question is on Cognite. Has anything changed in your thinking around a potential IPO or the future ownership structure for that company?
Øyvind Eriksen: Not really. And what it's all about is to continue on the good trajectory, continue to grow and to prove that Cognite is an AI for industry leader. 2025 was a great year for Cognite. They took full advantage of what's happening in the AI space also for industry and a huge market, which is, quite frankly, more immature than some other AI markets, but also attractive due to the size of the contracts signed with some of the global leaders in different industries.
Christina Glenn: Great. That concludes the Q&A and our presentation today. Thank you for watching.